Operator: Good day and thank you for standing by. Welcome to SimCorp’s Full Year Presentation. [Operator Instructions] I’d like to hand the conference over to your speaker today, CEO, Christian Kromann. Please go ahead.
Christian Kromann: Thank you very much and good morning and welcome to everybody. So I will start with some introductionary comments about Q4 and full ‘21 and then we will hand over to CFO, Michael Rosenvold, to talk about the actual numbers behind it. But let’s get going. So first, quick reminder of disclaimer. Most of you know about that one right now, but it’s always good to make sure you are familiarized with that. So let’s start with the Q4 ‘21 highlights and let’s work our way through it. So, first and foremost, Q4 at a glance. As always, I was almost about to say Q4 is crazy busy here in SimCorp. Let’s see if that’s going to continue once we get more and more towards a SaaS company, but certainly, this Q4 was not different than any other Q4 and is probably even more extreme than what we have seen before. But that also means we come out of Q4 with our arms over our heads and we are quite proud of what we have achieved. Order intake of €67 million, €10 million up compared to last Q4. And that results in a 9.6% revenue growth and a €45.3 million EBIT. So, all-in-all, good growth across top line in every – from every angle and also through the bottom line. A small drop in terms of 12-month rolling software updates. I don’t think there is any particular comment around that and then a very strong finish towards the year end on professional services growth. Some of that is certainly driven by additional demand. But some of it is also linked to one-off payments linked to significant go-lives at large customers, which we are obviously extremely happy about again. Free cash flow, I know Michael will comment more about what’s going on there. So, let’s not go further on that. And that takes us to a full year of 2021 with a very high order intake, almost €22.5 million, up to €137.6 million. We’re obviously extremely excited about that, leads to an 8.8% growth, which I’m particularly happy about that we are back on a growth trajectory compared to 2020. That obviously was highly impacted by COVID. It’s great to see that the company is back where we belong and where we’ve been historically and hopefully also going forward. That results in a €132.4 million EBIT, which is €8.1 million up year-on-year, which is obviously good as well. A very large order book €73 million, so we are obviously going in to ‘22 also with some good confidence on that. Across all quarters, we end up with an 8.5% growth on professional services. And there, we are also particularly pleased that we’re also seeing the recurring part of our services growing quite nicely. And then finally, €78.6 million in free cash flow. The two numbers that are extremely important for us internally in SimCorp, and we are actually making those numbers even more important going forward as we are starting to base both our short-term incentive program and our long-term incentive program on our annual recurring revenue. We are currently using a 12 – last 12 months measurement, which doesn’t take into account future committed recurring revenues that we actually did sign quite a few of in Q4. But that’s the number we use. And that took us to 10.5% year-on-year. So we are actually now continuing to see that our growth in our recurring revenue is higher than the revenue growth, which is also something we were going to talk about when we get to our ‘22 guidance. €323.2 million revenue signed on contract. And that’s also growing quite nicely. So we’re doing the right things, and we are also growing our recurring business, which was really where we started out the year with a lot of focus on that. I’m going to come back to what – how we see the existing customers’ impact on this. But as we always do, we also talk about new clients that have joined through ‘21. It’s a little lower than what we hoped for when we started. I would say Europe, we are very happy with what came out of that, good sizable contracts that were signed in competition with our hardest competitors. And we also see that we continue to sell both Coric and our data management products quite well. Most of the deals we do are front-to-back. They are cloud. And we are obviously quite pleased to see that. A new – we have talked through the year about APAC and North America being a little slow. That continued through Q4. But with that in mind, I also want to say that some of the things that we hoped to start to see is now starting to come through. So we see deals that we would have expected and had worked on all the way back to ‘19 and ‘20, they are now coming back to surface. And we are obviously tapping into that quite a lot. I was fortunate enough to be in New York for the first time in 2 years a couple of weeks ago. And it was great to see there that the team is also coming back. And I hope to repeat that going to APAC in a couple of weeks from now as well. So slowly, the world is opening up, and we are obviously very hopeful that we can also deliver to the level that we delivered on EMEA in North America and APAC, a new invention or at least a proof point that a new invention that we started a couple of years ago is now starting to also drive additional footprint in terms of our customers. So, we are now announcing three additional SimCorp Dimension customers that have been created through what we call channel play, so i.e., a distribution channel that is not controlled by our own sales force. So if we go to the next slide, let me quickly talk a little bit about that. So as I say, three new channel play deals in Q4. This is now de facto another sales channel that allows us to do two things: that allows us a wider reach because we are tapping into the sales forces of those partners that are either custody banks or asset services, but it also allows us to go deeper into a TAM that we normally don’t go into directly as SimCorp. So that’s obviously generating additional revenue and enables us to extend our global reach. It’s not going to move the needle substantially where we are now, but it’s something that we believe is now emerging from being a new innovation in the last couple of years to now actually proving that this generates both additional new names as customers but also generates revenue where the cost of sale is really low. As you’ve probably all seen already, we are particularly enthusiastic about the commitment from our existing customers through both in Q4, but I would say through all of ‘21. We’re quite excited for a few different reasons. So a lot of the customers, and we’ve talked about that in some of the previous quarters, it’s basically linked back to a lot of the work we did a couple of years ago, understanding the customers very deeply. But it’s also linked to the fact that we now have a certain amount of maturity in running SimCorp as a cloud. But even further, we are now starting to see that what we kicked off with data management services and what we are also kicking off now with Investment Accounting Services, you’re basically getting customers to move along that entire value proposition or customer journey, if you will. So that results in increasing share of wallet. And it certainly also strengthens the client relation as well as increasing our overall cash flow. So quickly, a quick step back to a slide you’ve seen before. So obviously, we keep on referring to 300 customers. That’s still the case. 50 of them are already moved some parts of the as-a-service journey. But that also means another 250 are out there. I would say a lot of customers are now moving into having multiple products. But also there, there is a lot more opportunity to capture. We still have a market share of 16%. We continue to push the envelope there. No change of that. But we will keep you updated on how we progress on that. Alright. So I would say through ‘21, a lot of the work that I have spent my time on was to take the strategy that we kicked off in ‘19 and really get it into what I would call strategy execution and really starting to change our company to take full advantage of the opportunity that is outside our windows. So a quick update on 2021, where we believe we have solid progress across multiple angles. So first and foremost, one of the things that really excited us in the – towards the end of ‘21 was that we managed to innovate and build an ESG solution that supports both the compliance elements of trading ESG but also take full value of the front-to-back value proposition of SimCorp Dimension as we know. That actually resulted in more than 25 customers signing up to this. We have a very nice walk-through of what that solution actually does in our annual report. So if anybody are interested, you should tap into that. We launched our Investment Accounting Services, which is another example, as I said, where we are starting to take the advantage of the automation that our underlying software can do for our customers, allowing them to reduce the time they spend on actually producing accounting entries. Already today, we run more than €25 trillion through the accounting component of SimCorp everyday. So we believe that we are quite far in our capabilities across multiple jurisdictions and multiple asset classes in doing this. And we now want to launch that as a service. It’s an investment case for ‘21. It’s also an investment case for ‘22. I’m quite pleased to say that I’m confident that we will sign our first customer in Q1. And I would say that’s better than I anticipated and then the momentum hopefully will build from there. We launched a new cloud-based data warehouse. And we decided to power that with Snowflake. So once again, we are moving a step up in terms of our capabilities of taking advantage of the one version of the truth data that is produced through the IBOR and the ABOR of SimCorp Dimension and the additional software assets we have around that. And then finally, continuing and actually extremely strong momentum on alternatives. Actually, alternatives had the best year ever in SimCorp, meaning that we sold more solutions for alternative support than we’ve ever done before. And we are also gradually building the ecosystem around alternatives, both with Colmore from an operational point of view but also for the support on the other side of the alternatives with the partnership we announced on Domos earlier in ‘21. If we then look at kind of the traditional three parts of our strategy that we’ve been talking to you about for multiple meetings, the customer experience leadership, I think we are now seeing the return on that investment. So a lot of focus is currently on what we call everything as a service, which is going to become very, very precise, what exactly do we mean by that over and above the cloud enablement. And then finally, a quick update on the ecosystem-enabled innovation. So if we first tap into why we – what’s the status on the cloud-based offering. So, in ‘21, we onboarded another 8 SimCorp Dimension customers as a service, that’s a mix between new customers as well as existing customers that chose to migrate on that journey. What is particularly exciting from the existing customer base is that we set out with a strategy that we wanted to have one big, one medium-sized and one smaller customer signed up, so we could build a repetitive scheme for these things. And I am very happy to report that is exactly what we did over and above the 5 other customers that we moved. So we are really now starting to see the momentum that we’ve been talking on for quite a long time about that we can start to move existing customers on to that, which is for many, many reasons, a very large opportunity for SimCorp. We have 34 customers on Dimension that is now running as a service. So I would say we have now scale in that, which means that we have done the investments also into Azure. We are getting the first Azure-based customers live shortly. But we also have an operational setup on a global scale that is now ready to take on more business. Overall, if I sum everything up, we now have more than 50 customers, including the Coric and Gain side and also Sofia, where we’re running things as a service. 5 out of 8 of new SimCorp Dimension customers were existing customers, as I just mentioned before, and 7 out of 34 actually signed up with the Microsoft-based solution. So some of them are going live in this quarter, but we also start to see that we’re building really momentum on that. So 75% of all new SimCorp Dimension clients onboarded in ‘21 chose service as a solution. So we continue to see the trend of new customers choosing that with a few exceptions. But the real move is on the existing customer base. The whole element, and I’m going to deliberately introduce a word called platform, it’s very much how we are increasingly seeing ourselves and the role we play in the industry we are. So we have 300 customers. We are growing that with somewhere between 10 and 20. We talk about that quite frequently. But no matter, whether it’s 310, 320 or 300 customers, we have a real solid footprint in the industry we serve. It’s become increasingly clear that by opening up through the cloud technology enablement we have done on the API, we can actually play an even larger role at our customers than just in brackets, providing our own software and services. And this is now becoming what I would say real. We built partnerships with more than 20 companies. Some of them are fin-tech, so they are software companies as we are. Some of them are international financial institutions, where the integration is ultimately increasing the STP rates for our customers. But the whole thing is built on the fact that our customers are asking us to take this role for them and help them navigating through that. The partners that are signing up with us are happy because they are tapping into our customer base. And in the end, we are happy because we can drive value out of this, and we can drive the partnership with our customers to an even further strategic point of view. This is also becoming more and more a pipeline for us to see if we can fuel our M&A ambitions over the years to come because we are getting more and more knowledge of really good companies that are out there. If we then drill a little bit on what are the strategic priorities for the company and for the team, that is certainly – and you can hear that through everything I’d say, accelerating the opportunity we have in the market for SaaS. That’s both enhancing our SaaS solution but also making sure that a substantial part of our customer base is choosing to do their SaaS transformation with SimCorp. And that’s piling up quite nicely. It’s obviously, for us, a balance act to take – to not take more than we can chew. And what I mean by that is quite important for us that our customers get a premium experience from onboarding from an on-prem relationship to a software-as-a-service with us. And that’s also why we are quite ambitious on how we invest into this. But it’s all linked to a fundamental assumption that the demand is increasing. That’s what we saw towards – through all of ‘21 but accelerating especially in Q4 and now leading into ‘22. But we’re going to come back to that when we talk about guidance. We want to extend our front-to-back leadership. That means investing more in our own technology but also investing into further partnerships. And that’s the final part, making sure that we now keep the trends that we have on our ecosystem and leverage that from all these people involved. I would say we got into ‘22 with some positive news. So we already signed the first SimCorp Dimension customer. And we also have signed a new customer in SimCorp Sofia, which is a long time ago, but it also proves that building good and strong software keep you in the market for many years. So in the end, I generally feel that we are uniquely positioned for future growth. And let me give you a few examples of why I believe that is. If we take a step back and look at the mega trends in the industry, as – let’s see, at least when we wrote the report, it was still a low interest environment. I think it still is. But there are certainly many things going on, both in terms of inflation, unfortunately, also the risk of war that could potentially change this in one or the other direction. But I think no matter what, we have seen a shifting trend towards both passive and alternatives and we certainly need to make sure that we tap into that. Digitalization will not leave no matter what happens. So a lot of the investments we do into cloud-enabled parts of the functions we do is certainly coming back with good returns. Shift in demographics and client expectations, I think we’ve learned our lessons. And really, I think the opportunities for SimCorp as a global company are now bigger than they were 2 years ago. And then no matter what unfortunately also increasing regulatory complexity, obviously, for us, that’s an opportunity. For our customers, it’s a burden. So in the end, if we also look at the industry dynamics, these are under pressure, more and more focus on ESG. We have some industry consolidation differentiation. And we have a fundamental drive towards transparency and efficiency. And that leads to a discussion about outsourcing. I think our view is that we actually have a real opportunity to deliver both a really efficient SaaS solution, but in some examples I just referred to on data management and accounting and most likely more, we are actually starting to move the needle towards things that we can automate using our technology. I think the outsourcing discussion is also going to become a discussion about how far can you actually come together with your technology provider. And we certainly see that some of our customers are choosing to in-source some of the stuff they outsource historically because now they can get an extremely efficient platform with what we do. A lot of outcome-based, we talked a lot about that. That links to how we drive our customer relationships. All asset classes is here for staying. And that’s also why I’m particularly happy to see that our investment in alternatives and ESG is on the same platform as all the liquid instruments. And the true multi-asset coverage is more true in SimCorp than, what we believe, in any other of our competitors. And then finally, focus on operational efficiency. That’s going to be essential in order for us to be able to drive margin out of taking more and more SaaS responsibility and then of course, in the end, making sure we take full leverage from both cloud and also the whole data trend. We believe strongly that we are well-positioned for this. We have a front-to-back system that is seamlessly integrated across the operation now with client reporting and data management fully integrated to the platform. As well, as you can see, we’ve done a little bit on the look and feel of how we’re presenting these things to make sure that everybody now understands that these things are fully integrated the way we sell it, the way we implement it but also the way we operate it. And then just as a reminder about the journey that we are on. So we – as I’ve just said before, we have roughly 300 customers, a little bit depending on how you’re counting. 50 of them are now in the SaaS environment, where we are taking the technical operations. And we are starting to see a trend where more and more are then going that additional one off to where you have the red font, talking about DataCare and Investment Accounting Services, where they go that extra step and allow SimCorp to use our technology to automate their processes and ultimately allow them to focus on what they’re really good at. When do we stop? The goal is obviously to have every 300 customers move as far up to the upper right corner that we possibly can. That would obviously take time. It will also take investments. And with those words, Michael, why don’t you take us through the ‘21 numbers and lead us in the discussion about guidance as well?
Michael Rosenvold: Thanks a lot, Christian, and I will now take a little more into – you into the details regarding financials and I will start on Page 25. And the overview is that we did manage to make a revenue growth of almost 10% in the last quarter and having a margin of 34%. And especially 10%, we believe, was quite nice as Q4 2020 was a very good quarter. So being able to grow based on a high base, at least that’s something we were pleased with. The currency gave us a little bit of a tailwind in Q4. So after having a headwind in the start of the year, we got some tailwind towards the end of the year, so a positive impact of more than 2% on revenue growth and 0.4% on the margin. If we take the full year, then the FX almost were neutralized. So, reported numbers were very equal to organic numbers in local currency. And we managed to end the year with an almost 9% growth and almost 20% margin. If you then go to Page #27, then you can say the guidance we submitted 1 year ago in connection with our annual report 2020 didn’t change during the year. And we ended the year on revenue growth in the middle of our guidance and on margin at the upper end of the guidance range. The next slide on Slide 28, here, we are trying to illustrate the changes we are undergoing right now. Because you can say what we traditionally have done is that we have sold licenses on-premise. And then you can see we have two service obligations. We have a license one, which we revenue-recognized upfront. And then we have software update and support revenue, which will be revenue-recognized over time. And there, you see on the left-hand side, both, you can say, the revenue recognition and the cash flow. Now what we are seeing is that we are going more and more towards SaaS and also SaaS and business services. And if we start with the middle column, Software as a Service, then what you typically see is that we have four service obligations, where it is only the license part which is revenue-recognized upfront, while the remaining – and in this illustrative case, which is, of course, to some degree, is quite realistic, we have around 75% of the revenue, which will be revenue-recognized over time over the period. And of course, also, as you are selling more hosting and application management and so on, then also the total numbers are going up. So you can see the more and more you move towards the right-hand side, then you see more and more being revenue-recognized over time, and you see more and more being recurring revenue instead of nonrecurring revenue. So I hope this gives you a kind of illustration of where we are moving from on-premise to Software as a Service to Software as a Service plus business services. And the way, of course, that will have an impact on the way we revenue-recognize the orders. If we go to Slide #29 about the order intake, I would say nice to see a record high order intake of €67 million in Q4. It’s actually €22.5 million up compared to – or for the full year – it’s €10 million up. And for the full year, it’s €22.5 million up compared to last year. As Christian also said, we made one new SimCorp Dimension and one new stand-alone Coric deal in Q4. But what was especially driving the high order intake was the many and significant deals we did with existing clients. If we go to Slide #30, you can see the – as Christian also said, the order book is going up. It’s going up when we compare to the same period last year with almost €70 million. And I would say the main driver for the increased order book is that now we have more Datacare in our order book. And as we revenue-recognize over time Datacare, then that is building up the order book. So the increase of €70 million is primarily related to increase in Datacare. Then going to Slide #31. If you look at Q4, you see an increase in licenses of almost 21%, primarily driven by a high additional license revenue. Software updates and support was slightly up compared to same quarter last year. And as Christian also said earlier, our professional services had a quite solid growth in the last quarter of the year and also for the full year. Hosting and other fees were a little down compared to last quarter. That was not because of the less hosting, because we actually did more hosting, but we had less sale of third-party products in Q4 this year compared to last year or in ‘21 compared to ‘22 – ‘20. Then going into the different components of the additional license sales on Page 32, if we look at the last quarter of the year, and most importantly, the additional regular licensing, so clean for conversions and renewals. That went up by €11 million and ended up at almost €30 million. Renewals were a little higher than Q4 2020 and conversions were also a little higher, €2 million higher. But the main driver of the growth in additional license revenue in Q4 was, you can say, the up-selling to existing clients. And it was not due to renewals and conversions. If we then take the full year, again additional regular license sales were up by €8 million – sorry, yes, €8 million compared to last year. And this is actually the highest level for the last 5 years. And I will – I haven’t gone back more than the 5 years. But the last 5 years is probably the largest ever, so a pretty good additional regular license sales. Then going to Slide #34, where we have the cost development. We did also have a quite a large increase in cost in Q4. Some of it was due to increased hosting costs. Some of it was due to higher salary costs as we provided for bonuses and commission. And then also, we had a relatively low level of admin expenses in Q4 2020. So the base was low for comparison reasons. If we take the full year, the cost growth was about 9% in local currency. And that was primarily due to increased hosting cost and increased salary cost. Then on Page 35, the free cash flow, a very modest free cash flow in Q4. The main reason being that we paid a one-off payment of Danish Holiday Act and that was something we already said 1 year ago that we would pay. And then that happened in Q4. And then also, we have had postponed payments of income taxes and social charges offered under government COVID-related support schemes, which were postponed from 2020 to 2021. So we ended up with almost €80 million in free cash flow, a cash conversion of 71%, which was in line with our guidance, our outlook of between 70% and 80% for this year. Then my last slide before we go to the outlook. If we look at the distribution of profit, you can see that we, in 2021, paid back to the shareholders €40 million in cash – sorry, in dividends. And we bought back shares of €40 million, so in total, €80 million. So you can say, of the free cash flow of €78 million, we paid all of it back to you as shareholders. And as we also announced, we will do a cash dividend of the same amount as last year, €7.50. We do have a little more owned share so that’s why the number is a little lower. And then we anticipate or we have started a new share buyback program of 2x €20 million. Then my last slide before the Q&A, the full year guidance, the full year outlook, we do expect revenue growth in local currency between 7 million and 12 million – 12%, of course, 7% and 12%, and we do expect to generate an EBIT margin between 23% and 26%. And of course, very important to notice here, included in the expected EBIT margin is a negative short-term impact of around 2 percentage points from planned investments in the future. And those investments are in our new Software as a Service operations and solutions, among other things, Investment Accounting Services. So we are investing into those. And also quite important to notice that we do expect this to lead to additional revenue and higher EBIT margin in coming years. Then we also do anticipate a higher salary increase in 2022 compared with recent years where salary increases have been more modest. And then finally, and that is for us quite important, we do expect the annual recurring revenue to grow more than the revenue. So while normal revenue is growing, revenue is growing, expected to grow 7% to 12%, we expect annual recurring revenue to grow 10% to 15%. And by this, I will hand over to Q&A.
Operator: Thank you. [Operator Instructions] So our first question today is from the line of Daniel Djurberg from Handelsbanken. Please go ahead.
Daniel Djurberg: Thank you so much for taking my question. And I have two if I may. First, on the professional services outlook for 2022 if you could comment a bit on your pricing power versus the cost inflation and also, if you could comment on, out of this 200 basis point margin impact from your – how much is the thought investment and how much is the buffer for the compensation? Thank you.
Michael Rosenvold: Yes, I will take that one. So first of all, professional services, there, we will, of course, increase our price list according to what we see in the society of inflation. So we will do that. And that will be reflected in our updated price list. Of course, some of the contracts we have is based on, you can say, old prices. There might be some inflation adjustment. But there will also be some contracts where you don’t have inflation adjustments. And then also when you’re talking about professional services, also for new contracts, it is, of course, you can say, always a negotiation. But I think the entire world has noticed that there is an inflation, there is an increased cost. So we also believe that we will be able to increase our prices towards our clients. And then the other question regarding the 2 percentage points or 200 basis points, those are all related to extra investments. So in the 2%, there is no – that is not impacted by salary increases. We’re just saying that we will have, you can say, we both do an extra investment this year. And then we also have an increased cost pressure from higher salary increases. And those are both included in our guidance.
Daniel Djurberg: Fair enough. That’s great. And may I also ask you just a housekeeping, the – how the Software as a Service and the business process or business services – as a service perspective, how that’s impacted the profitability year 1. Because I guess, you will have at least 20% less revenue recognition in year 1 compared to if you would only go with Software as a Service if you look at Page 28, where you obviously come back and take the – or how do you think is...
Michael Rosenvold: I think you were falling a little bit out. But I think your question was related to what impact will it have with BPaaS with the services on the margin. And you’re right that there will be, you can say, in itself a margin-dilutive impact because we’re making higher margins on selling licenses, which we will upfront revenue-recognize than BPaaS services, where we will revenue-recognize as we go. So what we will see is that we do some investments that we invest in people and systems ahead of the curve. And then at the same time, when we then get the contract, then of course, you will have, you can say, an alignment between the cost involved and the revenue recognized as we go. But there will be some upfront investments. And then you will have, you can say, a lower margin on BPaaS than you will have on licenses because that’s a very high margin, of course, because you have carried out all the costs beforehand.
Daniel Djurberg: Yes. And this is also obviously in your guidance.
Michael Rosenvold: Yes, I agree.
Daniel Djurberg: Perfect. Thanks. That’s all for me.
Operator: Thank you. The next question is from the line of Hannes Leitner from UBS. Please go ahead.
Hannes Leitner: Yes. Thank you. Congrats to the results. I have a couple of questions. Maybe in beginning of 2021, when you provided the guidance for that year, you talked about conversion and the conversion impact. So maybe you can remind us what will be the conversion impact for this year? Then the second question is about the U.S. U.S. revenues were flat year-over-year. Maybe you can talk about the moving parts and how the pipeline is shaping up there. And lastly, on that topic, in regards to salespeople and headcount in the U.S., how did that develop throughout the year? If you saw the war for talent, could you backfill that? And when should you see the pipeline building? And then the last question is around the commentary about the margin decline that you are increasing investments to spur growth. So what should we expect to add on revenue growth going forward? And then also, are those costs now, as we see the second year of a 200 basis points margin compression because of investments, should we expect that to continue? And do you need to further invest in the product? Or is this now kind of the trough from here and we should see margin expansion? Thank you.
Michael Rosenvold: That was quite a few questions. I’ll see if I – I will start with your first question regarding conversions. You’re absolutely right that we also gave guidance last year about what we expected in conversions and renewals. I would say for what we have included in our guidance this year is renewals of about the same size as last year and conversions a little higher than last year, so a little higher conversions in 2022 than in 2021. So the reason for that is that we can simply see that a lot of our clients, they want to buy more. And in connection with that, they want to buy more going to software as a service contract. Then they will also ask for converting from a perpetual license agreement to a subscription license agreement. So, we do expect a little more conversions next year than this year. And that’s also the trend we have seen over the last 3 years. Then let’s see, with your other questions, I…
Christian Kromann: So, if we kind of start with the way we think a little bit about investments, right. So, there is basically at least three layers, right. So, then we can discuss each of them. There is the obvious investment into our underlying products. So there, we are continuing to add a little more functionality. ESG is a good example of something that was a net investment that converted into quite nice business on the back of that. We will continue to do that for both – for two reasons, to protect ourselves and our existing customer base, and drive additional competitive angles in that, right. And I think I also indicated that some of that is now – we are looking at the ecosystem around us to make sure that in the end, we can basically win as much business against the competition as we possibly can. We are also continuing the cloud technology upgrade. And we are continuing that over the next years to come as well. This is where the two investments that are unusual, if you will. And then let me tell you what I think you should expect going forward as well. So, the investment accounting services is a net new thing. It’s new for us to tap into. It basically requires people with a knowledge skill set that they currently do not have. But it also requires that we put in some additional investment into automation, etcetera. But it gives an additional share of wallet that we otherwise do not tap into. There is a but in that, and I am going to come back to that. So, you can say either, that’s successful and we will see that through ‘22, certainly. And if it is successful, we are going to continue to invest. But if it’s not successful, we will close it down. It’s an isolated system, if you will. The other thing, and that’s something we probably need to get used to talk about with each other, as long as there is a positive forward load of customers that want to close down their on-prem installation and move on to cloud, then we will need to continue to invest ahead of the game. Because otherwise, we do not have the capacity to onboard the customers at the pace we are. But also there, it’s not something that we are doing blindly. We are obviously quite carefully assessing the opportunity as it goes. And if the opportunity slows down, then we will also slowdown the investment. But I think that one, it will always be a negative the day we stop investing in a forward load on as a service. So, I think we need to talk about net new stuff we do to enhance the share of wallet or increase competitiveness. And then the other thing is the transformation of our existing customers to cloud. So, that’s kind of one system. And we can maybe you – we can follow-up on that. The other thing is North America that we talked about. And North America is obviously – has been a growth vehicle for many years. I would say for me, APAC is a little bit in the same category, obviously, with less impact. But they both need to get out of their COVID hibernation, if you will. And we believe they are. And at what pace they get out of that, we still don’t know because it’s really something we only start to see towards the end of Q4. And our ambition is to get them back to that. We are actually doing quite a lot of work to understand, if anything, from a market requirement point of view if North America has changed. And we can certainly know, we know that their service enablement thoughts are more advanced than in Europe, which is linking back to the investment accounting service investment that we are doing out of North America. But otherwise, North America haven’t changed. And we are confident it will get back to something that would drive our growth going forward. But it’s certainly an area where we need to make sure that after 2 years of slowdown, is the market coming back in the same way, or are there other trends we need to tap into. And then I think the final comment that I wanted to respond to was the war for talent. That’s certainly happening everywhere in the world. We kind of see ourselves as an attractive employer. We are doing a lot of things to make sure that’s the case. But needless to say, we all know that this is happening outside – so, a lot of focus is also going to making sure that our current employees are happy. And we also need to make sure that we are making the right bets in terms of where we place headcount around in the world. And while I am responding to that, I know at some point, there will be a question about Ukraine anyway, so I might as well respond to that already now. As most of you probably know is that we have quite a few very good colleagues and friends sitting in Kiev. I have spent a lot of time the last weeks, together with the senior management team, to making sure that we are doing exactly what we would do with colleagues and friends, no matter where they sit. So, we are giving them the options they need both for themselves and their families, and we obviously have multiple scenarios. And I fundamentally hope of all my heart that the most extreme of those scenarios will never become relevant. But we also do it with respect for our Ukrainian colleagues that certainly are very proud people that have a strong connection to their country. So, we are making sure they are – we are doing what we can as a company, and they know that, all of them as well.
Michael Rosenvold: Did we miss anything?
Hannes Leitner: I think maybe – no, I think – so in terms of just to spur the growth, to maybe give a soft guidance around what you expect to really add to the historic around 10% constant currency growth through those investments?
Christian Kromann: I think we are. And this is where it’s going to be, to become educational a little bit, right, is in ARR growth. And there, we feel that we are taking a step-up in terms of what we hope we can drive that towards. And that’s certainly driven by our confidence that we can continue to win new business. But it’s certainly fueled by the trend we see from our existing customer base. Exactly, precisely what that means, I think time will show. But at least, we are leaning out of the window with giving you 10% to 15% guidance, because that’s ultimately also a long-term guidance, if you will. Because the impact of generating ARR above 10% is a long-term positive trend, right.
Hannes Leitner: Great. Thank you. Good luck for this year.
Christian Kromann: Thank you.
Operator: Thank you. The next question is from the line of Claus Almer from Nordea. Please go ahead.
Claus Almer: Thank you. Yes, also a few questions from my side. The first is more for clarification. Michael, you said flattish renewals in 2022 embedded in the guidance. Does that only include Dimension or it is for all your products? That will be the first.
Michael Rosenvold: All is total. So, you have the renewal number in the report. And we expect something similar in 2022. And that is a total number covering all our products.
Claus Almer: What would it be? It was only for Dimension, because the other products typically has a 1-year or 2-year license cycle.
Michael Rosenvold: No, that’s only Italiana. The other one is having more than 1 year to 2 years. So, Coric again, they have – they would not only one or two. They have normal, I think, at least three.
Claus Almer: Okay. But what…
Michael Rosenvold: We don’t give guidance on every – we give it in total.
Claus Almer: Fair enough. Then a question regarding new clients on Dimension, it’s actually a threefold question. So only one, as you mentioned, a new client in Q4 plus the three from partners and four in total in the full year. Have you – if you look at your win rate, how did that play out? Were some specific projects you didn’t win? Let’s just take it one-by-one.
Christian Kromann: Yes. But I think our win rate in ‘21 was actually good. So, that kind of gives the response that there was not enough kind of meat put into the sauces machine because the projects were not coming at the pace we expected. Really strong performance in Europe head-to-head with our worst competitors, slow amount of kind of pipeline being generated in APAC and North America in particular.
Claus Almer: Okay. And then based on the wording in your outlook in the annual report, it sounds like at least that Q1 will also be impacted by COVID. So, should we expect most of these projects that could support the guidance will come very late ‘22, or what’s your thinking about the pipeline and timing?
Michael Rosenvold: I can take that one. You are absolutely right. You have read it correctly. So, we expect a weak Q1 and then we expect a higher tick-up in H2, which is also what did we write in our outlook.
Claus Almer: Okay. And then the final is professional service, a very strong level in Q4. The low order intake from new clients, will that have a negative impact in 2022? And you will say, will this Q4 level be a new level going forward?
Christian Kromann: No. But I think that, to a certain extent, speak to the strength of the business model is that the projects that we are getting through, the existing customers are quite often quite a lot bigger than what we see from an on-boarding of a new customer, both from a competitive angle, but also because it’s a lot of work that you do for them. So, I think we have – we can control that a bit like what we want to do. But I think that it’s very important that by no means do you hear what I am saying is that new customers is not important. But for generating top line growth, the real big numbers comes from the 250 customers that are still running on-prem and still haven’t taken the full advantage of alternatives or ESG or whatever it is. But that doesn’t mean that we are not putting everything we can to win new customers. Because that’s where you continue to be on your toes in terms of competitiveness and obviously fuel the whole engine for further up-sales down the road. But kind of from a near-term financial performance, I don’t think it’s – that’s not the biggest concern. It’s more from a longer term kind of point of view that new customers is always important for a company. Otherwise, you become legacy.
Michael Rosenvold: And I think the advantage of the new clients coming in, in ‘21 compared to 2020 is that they were bigger. So, when you look at – if you look at the new license sales, it’s almost the same as it was in 2020 despite the fact that we won fewer clients. So, where we won, you can say, quite a lot clients in 2020, they were relatively small. And in ‘21, we won too few, I totally admit that. But they were bigger. And bigger clients normally also have a higher proportion of professional services involved.
Claus Almer: Okay. And then coming back to this Q4 level, Michael, I think in the past, you have mentioned in the Q4, there might be some adjustment to how you have invoiced different projects and there might be some catching-up effect. Did that also happen in this Q4?
Michael Rosenvold: Yes. And Christian also mentioned it, so we were successful in completing some of the implementations in Q4. And when you have done the final implementation, then you also know what the final ones will also be. And sometimes you have some contingencies, where there might be a risk that you will have to use those or pay them back to the client. And when you then have done a successful implementation, then you can revenue-recognize it. And we have had those in Q4 like we have also had in the past. And I don’t think it has been something very extraordinary. But when you look at Q4 compared to the other quarters, then you have a tendency, there are more of those than in the first three quarters. And just so because I know what your next question will be, that when you have implemented the project, it’s not necessarily the same as you don’t work anymore for that client. It could be that you have entered the stage of the project.
Claus Almer: Thank you. I didn’t have any further questions so I thought, but thanks for that. And that’s all for me. Thanks.
Christian Kromann: Thanks, Claus.
Operator: Thank you. No other questions on the phone lines at the moment. [Operator Instructions]
Anders Hjort: Yes. And I think we actually have one on the web. So from Magnus Jensen, we actually have two questions. But I believe one of the questions have already been answered regarding the situation in Ukraine. But the second question is how is Dimension situated when blockchain technology starts to be used?
Christian Kromann: Yes. I think that’s something we are kind of consistently looking at. I think no matter what the organizations that are currently using SimCorp would need that as a kind of one version of the tools to secure their position management and all of that. I think potentially some of the custodians and some of the other intermediaries certainly would need to look at how do they integrate and then how do they provide that service. So for us, in the end, blockchain becomes a way of communicating potentially directly between some of our customers. But it’s an area that we consistently monitor and make sure that we come out on the right side of that.
Anders Hjort: No more questions on the web.
Operator: There are no further questions on the phones.
Christian Kromann: Well, then I wish you a wonderful day. Thank you for calling in. And yes, see you soon somewhere.
Michael Rosenvold: Thank you.
Operator: Thank you. That does conclude the conference for today. Thank you for participating, and you may now disconnect.